Operator: Good morning, ladies and gentlemen. At this time, we would like to welcome everyone to Braskem's First Quarter of 2013 Earnings Conference Call. Today with us, we have Carlos Fadigas, CEO; Marcela Drehmer, CFO; and Guilherme Mélega, IRO and Corporate Controlling. We would like to inform that this event is being recorded. [Operator Instructions] We have simultaneous webcast that may be accessed through Braskem's IR website. It's www.braskem.com.br/ir. The slide presentation may be downloaded from this website. Please feel free to flip through the slides during the conference call. There will be a replay facility for this call on the website. We remind you that the questions which will be answered during the Q&A session may be posted in advance on the website. Before proceeding, let me mention that forward-looking statements are being made under the Safe Harbor of Securities Litigation Reform Act of 1996. Forward-looking statements are based on the beliefs and assumptions of Braskem management and on information currently available to the company. They involve risks, uncertainties and assumptions because they relate to future events and therefore, depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions and other operating factors could also affect the future results of Braskem and could cause results to differ materially from those expressed in such forward-looking statements. Now I'll turn the conference over to Guilherme Mélega, IRO and Corporate Controlling Officer. Mr. Mélega, you may now begin your conference. Sir?
Carlos José Fadigas De Souza Filho: Good morning, ladies and gentlemen. Thank you for participating on another Braskem earnings conference call. Today, we'll be commenting on our results for the first quarter of 2013. First, we would like to remind you that pursuant to Federal Law 11638 from 2007, the results presented in today's presentation reflect the adoption of the International Financial Reporting Standards, IFRS. Note also that the company currently has assets in the process of divestment and therefore, the results are recognized as profit or loss from discontinued operations. The information in today's presentation was reviewed by independent external auditor. Let's go to the next slide, where we'll begin our comments. On Slide 3, we present the highlights of the first quarter of 2013. The capacity utilization rate of crackers stood at 90%, increasing 8 percentage points from the average in the last quarter of 2012, which was impacted by operating problems due to volatility in the electricity supply. Brazil's thermoplastic resins market grew by 5.6% to 1.3 million tons in the quarter. Braskem, following demand trend with sales volume of 921,000 tons, leading its market share to expand to 71% in the quarter. EBITDA was BRL 937 million or USD 470 million benefiting from the stronger sales in the Brazilian market and the recovery's price for resins and key basic petrochemicals, which followed international market. Compared to the fourth quarter, excluding the nonrecurring effects in both periods, EBITDA, in dollar, in the first quarter of 2013 grew by 10%. As part of the strategy to diversify feedstock matrix, Braskem continued to make progress on its greenfield project in Mexico to ensure the units start up in the first half of 2015. Construction reached 26% completion and is advancing on schedule. Also, the company expanded its premarketing activity with local clients. We should also mention the progress made on meeting the conditions of precedent for the first disbursement of the project finance, which should occur in the second quarter. Brazil's government responded to the uncertainties in the global scenario in which the aim of restoring the competitiveness of Brazilian chemical and petrochemical manufacturers and encouraging new investment. In May, it approved of reduction in the PIS COFINS tax rate for a purchase of feedstock and inputs by second-generation producers, which are consumed by approximately 50 companies. The tax rate will remain at 1% from 2013 through 2015. And as of 2016, we'll gradually rise into 2018. Let's go to Slide 4. Slide 4 shows the performance of Brazil's thermoplastic resin market and Braskem sales. Demand for thermoplastic resins reached 1.3 million tons in the first quarter of 2013, 5% higher than in the same quarter last year, explained by the strong performance of the food and construction industries. Compared to the fourth quarter of 2012, demand grew 5.6%, reflecting the restocking trend in the chain. And Braskem's sales grew by around 9% from the year-ago period, in line with its strategy to grow in the Brazilian market. And also, benefiting from the new PVC plant in the state of Alagoas. This performance provided the company's market share to expand to 71% at the end of this first quarter for a gain of 3 percentage points from Q1 2012. Compared to the fourth quarter of last year, sales grew by 6.2%. Let's go now to Slide 5. This slide presents the factors that influenced EBITDA in the first quarter of 2013 compared to last quarter for last year. Braskem's consolidated EBITDA was BRL 937 million, growing 6% when compared with the recurring EBITDA of Q4 2012, which was partly impacted by the divestment of noncore assets amounting BRL 516 million. This recovery is mainly explained by the higher spreads for thermoplastic resins and the key basic petrochemicals in international market, which expanded by 24% and 6%, respectively, and by the improvement in the sales mix especially in the domestic market. The average appreciation in the real generated a positive impact of BRL 64 million, followed by a positive revenue impact of BRL 223 million and a negative cost impact of BRL 287 million. Let's go to the next slide, please. On March 31, 2013, the company had consolidated net debt of $9 billion, increasing 5% from December 31, 2012, mainly explained by the additional funding of $305 million through the bridge loan for the integrated project in Mexico, which will be repaid upon the first disbursement of the project finance scheduled for June 2013. In Brazilian real, consolidated net -- gross debt grew by 3% in the period. At the end of the period, 70% of gross debt was denominated in U.S. dollar. The balance of cash and investments, which in the prior quarter benefited from the sale of railcar by Braskem America, decreased by $95 million to $1.6 billion. As a result, Braskem's consolidated net debt in U.S. dollar and Brazilian real increased by 8% and 6%, respectively, to $7.4 billion and $14.9 billion. The percentage of net debt denominated in the U.S. dollar was 75%. Excluding from the debt balance, the bridge loan for the Mexico project reached total $690 million. In the first quarter of the year, net debt was $6.9 billion. EBITDA growth in the last 12 months partially offset the increase in net debt. As a result, leverage measured by the number of EBITDA ratio in U.S. dollar from 3.42x in December to 3.62x in March. Excluding the Mexico project from this analysis, financial leverage, measured by net debt/EBITDA ratio, stood at 3.34x in line with the previous quarter. On March 31, 2013, the average debt term was around 14 years and considering only the portion denominated in U.S. dollar, the average debt term was around 19 years. The average cost of company's debt on March 31, 2013, is 5.98% in U.S. dollar and 8% in Brazilian real, compared to 6.24 percentage and 7.58 percentage, respectively, in prior quarter. And if we exclude the Mexico project for the company's debt amortization schedule, which will be repaid upon the first disbursement of the project finance, as already mentioned, only 5% of total debt matures in 2013. Also, Braskem's high liquidity ensures that its cash and cash equivalents will cover the payment of obligations maturing over the next 25 months. Considering also the stand-by credit facilities, this coverage increases to 34 months. Let's go to the next slide please. Slide #7 shows CapEx in the first quarter of 2013. Maintaining its commitment to making investments with returns above the cost of capital, Braskem made operational investments worth BRL 297 million. Around BRL 260 million, or 90% of this amount, was allocated to maintaining and improving its assets. Investment in the first quarter for the Mexico project were made via a bridge loan. The company expects investments via equity to resume in the second quarter of 2013, once it receives the first disbursement of the project finance. Regarding the disbursements to be made in 2013, investments is estimated at BRL 2.2 billion, which around 70% allocated to maintenance and improving the productivity and the reliability of the assets. Including the additional expenses arising from the scheduled maintenance shutdown of one of [indiscernible] for the fourth quarter and is expected to last 30 days, and 25% to building the new petrochemical complex in Mexico. The remainder is related to other operating investments and other projects in progress such as the [indiscernible], related to the [indiscernible] project, the construction of a pipeline called the [indiscernible] supplier of propylene to acrylics complex in Belgium as well as other projects. Let's go to Slide #8, please. Slide 8 shows the progress of the integrated projects for the production of polyethylene in Mexico. The project, which should begin operating at the end of the first half of 2015, will be the first gas-based greenfield project, which reference price based on the U.S. gas to come align the region. Construction is advancing on its schedule and is 26% complete, which more than 6,000 workers involved in the project. In addition to the advancing of feedstock, the project will also benefit from Mexico's polyethylene market, which currently must resort to imports for around 70% of its demand. Braskem also continues to expand its pre-marketing activities. As for the financing structure, the team has been making progress on meeting the conditions precedent for the first disbursement of the project finance that was signed in December, which is expected for June this year. For this year, the main priorities are: starting of electromechanical assembly with the arrival of the main pieces of equipment and materials at the site; expanding the premarketing activities and hiring and training people to operate the future industrial operation. Let's go to Slide 9, please. Slide 9 covers the global petrochemical industry. The scenario is [indiscernible] by caution. The continued uncertainty regarding the European financial crisis and its impact on the world economy and growth in emerging countries continues to focus attention. As for the petrochemical market, 2013 is expected to bring improvement in spreads, although, modest in relation to 2012. In the medium and long term, spreads are expected to gradually recur to a flat stronger global demand driven by growth in emerging countries. We also highlight the uncertainties regarding the start-up of new projects in Asia and the Middle East that could influence the global supply and demand balance and lead to a stronger recovery and the profitability of the global petrochemical industry. Competitive projects based on shale gas announced in U.S. should begin to come online more significantly starting in 2017. However, this new capacity is not expected to change pricing dynamics of the global petrochemical market, which will continue to use naphtha as its main feedstock. In Brazil, the continued growth in household income and the recent measures adopted by federal government to boost demand and improve the competitiveness of Brazilian manufacturers could also have a positive impact on countries' chemical and plastics chain. Let's go to the last slide, please. On this slide, we present the main areas on which management is currently focusing on. In line with the strategy to strengthen its business and boost its competitiveness, Braskem remains committed to supplying the local market and continues to invest in innovation, developing new applications and supporting the industry's growth, which is subsequent expansion of its domestic market share. However, the global scenario remains challenging, which reinforced the need for an industrial policy that is more comprehensive and continues to boost the competitiveness of Brazil's petrochemical and plastics chain and to encourage new investments in the sector. In this context, Braskem has invested in projects to diversify its feedstock matrix and improve its competitiveness in the global cost curve by building the integrated petrochemical complex in Mexico for the production of polyethylene and advancing the engineering studies for installing the new petrochemical complex in Rio de Janeiro. The company also remains focused on the continuous pursuit of operating efficiency by increasing its capacity utilization rate and adding value to existing strengths such as the new PVC plant and the butadiene expansion. Both of which were delivered in 2012. And all these will be done without losing sight of maintaining the company's financial solidity in a scenario market by a global financial crisis. That concludes today's presentation. So let's go now to the question-and-answer session.
Operator: [Operator Instructions] Mr. Frank McGann from Bank of America would like to make a question.
Frank J. McGann - BofA Merrill Lynch, Research Division: Just quickly looking at the supply and demand as you look into the second quarter and the third quarter, just wondering what your expectations are in terms of pricing and margins in Brazil. And then as part of that also, the competitive market for imports, of course, has been a key issue. It's been partly addressed by the government's responses in terms of taxes. I was just wondering how you see that competitive environment affecting sales and margins now? And is there -- assuming no additional moves by the government, how do you -- are you seeing any signs that the competition is perhaps a little bit less now than it was previously?
Carlos José Fadigas De Souza Filho: Frank, it's Carlos Fadigas speaking. Starting with first supply and demand balance, as you mentioned, what we've seen in the first quarter of the year was improvement in international margin, international spreads. Our spreads clearly follows the international prices. And therefore, we had also better spreads in the first quarter just like any other petrochemical company. With respect to having 2013 on average better than we had last year, 2012 was a tough year in terms of spread. The lack of demand especially the weakened situation in Europe hurt the spread for most of the petrochemical company. Putting aside those in the U.S., they're using very cheap paint. But putting aside those, if you think about Europe, if you think about Asia, the spreads went down because of international prices of raw material and petrochemical. So it's improving the first quarter of this year, we expect to have a better year when you compare it to 2012 and that should be added to better demand in Brazil. So volumes is a local trend. It's a local dynamic. Spreads, we follow international trends. So better spread on top of a global domestic market. At this point, we are forecasting at 4% over 2012. Although, we had 5% growth in this first quarter, but I mean, we're still a bit conservative in terms of volumes going forward and we hope to have something around 4%, ideally better than that. But right now, it's very tough for us to forecast anything beyond that point. The combination of these 2 things should give a better operational EBITDA in 2013. It's tough to say exactly how much. And because of all these things we've seen over the last 2 years, very volatile and tough-to-forecast market, we can't go much or elaborate much further how better will the spread be. I think that's something in line to a little bit more conservative of the spreads we've seen in the first quarter. It's a reasonable number at this point, maybe not enough to [indiscernible] number, but a reasonable number at this point. In terms of market share in Brazil. Quickly, just to recap quickly, what we have in Brazil was a very distortion of whether the different states, Brazil has 27, have the capacity to return state taxes to the imported goods and they have 12% of tariff and in some cases, they were giving back to imported goods 10 percentage points out of the 12% they had -- the right to charge. So if you give 10% back on import, that provides a very deep, competitive advantage to imported goods. We thought of that last year and the Senate in Brazil passed a resolution that should prevent the states that became enforceable, let's say, at the turn of the year from '12 to '13, some final adjustments are being made through the practical manners of how we apply actually the decision of the Brazilian Senate. But we have already seen less importance in the import of imported resin and also transform good plastics and solid goods because of the -- still to recap the import tariffs for polyethylene was raised in October last year from 14% to 20% and that has been done to allow the Brazilian industry to regain market share. When you combine all these things, we came from something around 64% at the end of '11 -- this is the lowest point -- to 70% in the fourth quarter. But 71% right now and would expect we want to keep growing. We have a new PVC plant and that will help us to grow. So in terms of the dynamics going forward in Brazil, as we said, taken into consideration that we don't think that the government will do other things, but even if they don't and I understand that's your question, even if they don't, we do believe in the capacity of Braskem to keep the current market share of 71%, but I do believe we will be able to pick up a few additional percentage points of market share of the Brazilian market.
Frank J. McGann - BofA Merrill Lynch, Research Division: Okay. And just in terms of the trends that you're seeing in the second quarter, and any indications you might have for how you think the third quarter will look? Are those supportive of the kind of margin trends that you are expecting for the full year?
Carlos José Fadigas De Souza Filho: Yes, Frank. I mean, starting with volume, we believe we're going to have volumes in the second quarter of the year. There would be roughly domestic markets in line with the first quarter. If we look at seasonality, year-over-year, the second quarter is actually stronger, but we had a very strong first quarter. So we've been conservative here and assume we're going to have similar volumes in the second quarter. In terms of spread, what we have seen that you're going to have margins that won't be as good as the ones -- or the same size like the one we had in the first quarter, so it should come down a little bit, not much. So I think that a similar EBITDA as we fight to keep pricing reduced then slowly should provide us with something in line in the EBITDA we thought we had in the first quarter of the year. You have to bear in mind that for the second quarter, we want to start having the benefit of the reduction impacts on the raw material that we are forecasting roughly $200 million, BRL 600 million for the remaining of the year. The decision became producing effects on related [indiscernible]. So some part of that will improve the result for the second quarter. But basically, if we were to talk only about operational results coming from volumes and spreads, I would say something in line and with something that we would be [indiscernible] for, although the margins will be a little bit tighter than what we saw in the first quarter of the year. Does it answer your question?
Frank J. McGann - BofA Merrill Lynch, Research Division: Okay. Yes, yes. But with the tax benefits potentially a little bit better, is that what you're saying? But...
Carlos José Fadigas De Souza Filho: Yes, exactly.
Operator: Mr. Emerson Leite from Credit Suisse would like to make a question.
Emerson Leite - Crédit Suisse AG, Research Division: I have 2 follow-ups from the first [indiscernible] call. One is on the fixed cost in G&A. You had quite a nice benefits in Q1 versus Q4, almost as good as a the price increase effect. So I'd like to understand just a little bit better, what are you doing that we can expect for the benefits of the quarters to come and so on? And the second question would be in the release, you mentioned that you expected -- or that you announced new measures to incentivize the industry. Are we talking about just the inclusion of PP in the list to have [indiscernible] increase the renewal fee or are you looking for something else as well? That will be it.
Carlos José Fadigas De Souza Filho: Okay, Emerson, I'll start with your second question, but actually these were the questions we made by Frank about what is happening going forward and I mentioned we do expect the government to do other things. So I'll start with the second one and then pass on to Marcela to answer your question about fixed cost. There are 2 sets of things that we believe that can and will be done by the government at a certain point. The first set of things is the items that's included in the agenda of the competitiveness team -- the competitiveness working team that was put together to incentivize the development of the Brazilian industry. Just brief recap, back in 2010, the Brazilian government announced of its package to boost economic growth of the company. It created 19 competitiveness focus groups on different industries. One of these groups worked to provide action items for the government on petrochemicals, chemicals and petrochemicals. The reduction in taxes on raw materials was one of our recommendations from this group and the government accepted and implemented. We still have 3 other items in that agenda that we don't know exactly when the government will act, but we hope they will work the system point. One of them additional incentives for innovation. Second one, we mentioned incentives for the green chemical production in Brazil. And that could potentially benefit our greenfield. And the third one we mentioned the reduction over time the price of gas as raw material for the chemical industry. So this competitiveness group that have to give agenda of the government [indiscernible] the government act in one of these points so that's 3 other points on the table and we actually are still in constant battles with the government on these other projects. They are not as mature in the short term as the reduction taxes for raw materials but you need to keep working on them, they are very important part of this, because when you think about innovation and then we think about bringing prices of gas in Brazil down to something closer to what we see in other places of the world. The second set of things has to do with what we didn't have in terms of let's say, international trade, imports and exports. And these are that for factors import taxes on polyethylene from 14% to 20% in last October. There is an additional lease operating import tariffs to be analyzed by the government. We believe they're going to be analyzing at a certain point at the end of the third quarter and there is a demand to a similarly to what has been done with the -- to raise the import tax totally. This is a 1-year increase in tax that can be extended to 1 additional year. So all percentage point is to have a key increase, eventually, we'll use for 1 more year until October 14. And we believe that including PP in the list will be the next feature as well. Just to add a bit of context to build about admin view, this is not a list of petrochemical segment. This is a list of 100 different products of both business segments including chemicals that roughly does not produce including products from all customers, including textile industry, steel, several business products with that certain measure, as I mentioned, at 1 year. Then we will go for 1 year. And the list 100 products the initial 100 products approved for the last year and there's going to be a second and final list of 100 products should be analyzed and approved this year. We were able to include the polyethylene in the first release and we are hoping to potentially include PP under the second list. But again for short term measure the solution in the long term has to do with reducing cost of production in Brazil and competitiveness, as we all know, from traditional macroeconomics.
Marcela Aparecida Drehmer Andrade: Okay. [indiscernible] your answer. Between 2, I'll talk about the [indiscernible] expenses. In this case, just to remind you, in the last quarter of 2012, the number was impacted by the [indiscernible] costs and also freight costs, that was related to previous quarters. So the number in the first quarter was higher than it was supposed to be, okay? This is a big difference regarding [indiscernible]. In G&A, what we have this quarter is that we have less outsourced cost and also less institutions [indiscernible] payments which reduced the cost for the quarter. In terms of expectation and more normalized number, I think the number this quarter is too low and the previous quarter is too high. So a number between the 2 of them could be a good number for the full year, okay? For each quarter. A normalized number for the quarter, okay?
Operator: [Operator Instructions] I'll turn it over to Mr. Carlos Fadigas for closing remarks.
Carlos José Fadigas De Souza Filho: I believe there is one more question on the line that we'll be very willing to take. If you could pass it to them.
Operator: Frank McGann, Bank of America.
Frank J. McGann - BofA Merrill Lynch, Research Division: Just to follow up on a comment from the Portuguese call. In terms of, I believe, you made a comment that you were willing to or has been looking at the survey on assets. So I was wondering how competitive you see those assets and certainly relative...
Carlos José Fadigas De Souza Filho: I believe eventually Frank got disconnected. But I'll go ahead and answer his question about competitiveness of the assets in the region. We've sold the PVC plant -- that being sold by [indiscernible] in both Brazil and Argentina. Hopefully at a certain point Frank will be able to join us on the call and making sure that answer to the question. Anyway, it's another good our conference call and answer to the question. So we have 2 plants, one in São Paulo, Brazil and one in Argentina. They combined distribution 500,000 tons of PVC. Actually at this point, they do not have the competitiveness of the North American PVC players that have both competitive electricity very, very important for the production of PVC and complex[ph] ethylene. But this let's say less competitive assets have the fact that they are somehow less competitive than U.S., to be reflected in [indiscernible] price. So based on what has been discussed and we've heard about the value of these assets we believe that if the [indiscernible] competitive, than that's the case, we'll do a strike on the price of the transaction. So whoever buys that, independent of who does that, you will have the price at acquisition that will reflect that. We in every single aspect of [indiscernible] we have been able to increase competitive [indiscernible] assets, we acquired over time has been the case for both [indiscernible] synergies and improve acquisitions. So we are, as I said, keeping close track of what's happening in the heart of our markets, it's being supplied by actually one of our crackers and we feel we have to participate and to understand who for these assets at the end of the line. I'm not sure I answered completely the question that Frank had. He got disconnected at the middle of the question but [indiscernible] answers.
Frank J. McGann - BofA Merrill Lynch, Research Division: Okay. I was just -- just in terms of the technology or any environmental issues, are there any -- anything that you're aware that would make this a more difficult acquisition or is everything pretty much as you would expect it?
Carlos José Fadigas De Souza Filho: Frank, the good thing is that we have, I would say, experience with these type of assets. The team from Braskem has been involved in the production of PVC for more than 30 years now and we do have people with more than 30 years in experience. Our involvement dates back to 1979, based on everything we know these assets can have any relevant challenge in terms of competitiveness, technology or environmental liability. What typically happens in these types of transactions and again polyethylene account is that the buyer who have the opportunity to [indiscernible] carve out liabilities or distress how this would be mitigated over time. But based on what we know and we supply the plant as I mentioned to you we supplied in São Paulo [indiscernible] with good technology and good competitiveness. Especially in the region I mean good competitiveness compared to the plants that we have and the plants that Mexico has both in Columbia and in Mexico.
Operator: Mr. Aaron Holsberg from Santander would like to make a question.
Aaron Holsberg - Santander, Equity Research: First, this is a question on the possible interest in acquiring the sold buy[ph] assets Braskem has been making a lot of progress and working very hard to retain its investment grade ratings with the agencies despite difficult industry conditions. Would you only pursue this acquisition if you were sure it wouldn't risk a downgrade?
Carlos José Fadigas De Souza Filho: It's a very good question, and it gives me actually the opportunity to reinforce our commitment with our investment-grade and deleveraging Braskem. We ended the first quarter somewhere around 3.5 net-debt-to-EBITDA ratio. We want to bring that down and then it flows through 2.5% as we can and we will be making good progress in that. We've had increased our EBITDA -- operational EBITDA generation. We have positive [indiscernible] in the first quarter of 2012. We were able to get tax incentives that will help us only in 2013 since we already produced bear in mind that it became effective only in May, it should generate some $300 million or BRL 600 million of incentives from that and that will go straight to the EBITDA of the company that should help us deleverage as well. And so to assets that accounted roughly for $320 million, BRL 650 million at the end of last year. So both from operation. Tax incentives. And that assets we've able to make good progress in de-leveraging Braskem and the goal is to keep the investing in the rate. I believe than an eventual acquisition of our PVC assets, of the PVC assets would not reduce investment-grade and we will be very lucky to do that if we knew that, that would change our rating. To give you some more comfort I would like to remind you that the rating agencies are insiders. So they have full disclosure of our results, tax incentives, things we've been working with the government, failure[ph] of assets something that can, we can discuss publically, the evolution of the sale of some assets or price of assets [indiscernible]. So they have full access to all that. It's an open book discussion. They know our results for April. This should give an example. So they already know how we perform in the second quarter of the year and we plan to open -- to keep these values[ph] very open, in order to try to understand they have respect on a potential acquisition of an asset and where they debt would be [indiscernible] investment-grade and it will be very likely to do an acquisition to make an acquisition if we felt that would somehow affect our rate. And we have this commitment with leverage but [indiscernible] here investments through investments 3 rating agencies, they have different perspectives on things, but in general that's the direction we are doing.
Operator: I will turn it over to Mr. Carlos Fadigas for closing remarks.
Carlos José Fadigas De Souza Filho: Thank you, all, for participating on the call. I thank that -- thank to everybody, all the efforts Braskem has been making to improve its results and we are happy to see that it's actually helping us improve EBITDA as we shown better EBITDA compared to last year. As we work internally on reducing fixed cost and running our crackers at better running rate and improving our market share. We also been working hard to create a better economic environment for Braskem especially in Brazil, where the industry is facing a challenging period. And we have been able in dial[ph] with the government should create a better environment not only for the current operations but also in the long term. So we've seen -- we've started to see the results of that in our income statement and I do hope we're going to have a better year in 2013 than we had in 2012 because of all these efforts. We don't have the what we call the dispute between the stage toward providing samples to the imported products. We have a better import tariff. We have [indiscernible] raw materials with less taxes being charged on top of that and the believe this will help us improve results as we keep also focused on growing [indiscernible], it's on schedule, it's on budget. We believe it's additional plants on schedule, on budget last year and that's our commitment to keep working and growing Braskem into a bigger more competitive petrochemical company. Thank you, again, and I wish you all have a good week.
Operator: Thank you. This concludes today's Braskem earnings conference call. You may disconnect your lines at this time.